Operator: Good afternoon, and welcome to the Republic Services Third Quarter 2020 Investor Conference call. Republic Services is traded on the New York Stock Exchange under the symbol RSG. [Operator Instructions] Please note, this event is being recorded. 
 I would now like to turn the conference over to Stacey Mathews, Vice President of Investor Relations. Please go ahead. 
Stacey Mathews: Hello. I would like to welcome everyone to Republic Services' Third Quarter 2020 Conference Call. Don Slager, our CEO; Jon Vander Ark, our President; and Brian DelGhiaccio, our CFO, are joining me as we discuss our performance. 
 I would like to take a moment to remind everyone that some of the information we discuss on today's call contains forward-looking statements, which involve risks and uncertainties and may be materially different from actual results. Our SEC filings discuss factors that could cause actual results to differ materially from expectations.
 The material that we discuss today is time-sensitive. If in the future, you listen to a rebroadcast or a recording of this conference call, you should be sensitive to the date of the original call, which is November 5, 2020.
 Please note that this call is the property of Republic Services, Inc. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Republic Services is strictly prohibited.
 I want to point out that our SEC filings, our earnings press release, which includes GAAP reconciliation tables and a discussion of business activities, along with the recording of this call, are all available on Republic's website at republicservices.com. 
 I want to remind you that Republic's management team routinely participates in investor conferences. When events are scheduled, the dates, times and presentations are posted on our website. 
 With that, I would like to turn the call over to Don. 
Donald Slager: Thanks, Stacey. Good afternoon, everyone, and thank you for joining us. We are extremely pleased with our third quarter results, which clearly demonstrate the strength and resiliency of our business. The Republic team is working hard every day, delivering quality service to our customers and communities. Our deep expertise and dedication, together with the strength of our market position and assets, made these results possible. 
 During the quarter, we delivered adjusted earnings per share of $1, which is an 11% increase over the prior year, and expanded adjusted EBITDA margin 230 basis points to 30.3%. These strong operating results, together with effective cash management, helped us deliver $1.1 billion of adjusted free cash flow through Q3, which represents a 14% increase over the prior year. 
 We believe investing our free cash flow in quality acquisitions is the best way to increase long-term shareholder value. We continue to prioritize acquisition opportunities to further strengthen our leading market positions and expand into new markets with attractive growth profiles. Year-to-date, we have invested $154 million in acquisitions. 
 We recently received regulatory approval on a leading recycling and solid waste provider in the Twin Cities area. Combined with the previously discussed pending acquisition of Santek, we now expect to invest $850 million to $900 million in acquisitions in 2020. Our acquisition pipeline remains robust, and we expect 2021 will be another strong year of activity. 
 Year-to-date, we've returned nearly $500 million to our shareholders through dividends and share repurchases. Our Board recently approved a $2 billion, 3-year share repurchase authorization, which will begin in January 2021. This is consistent with prior practice. 
 As we look forward, we remain optimistic about our business and continued prospects for profitable growth. Pricing continues to exceed cost inflation, volumes continue to recover and margins are expanding. Accordingly, we are raising our full year 2020 adjusted free cash flow guidance to a range of $1.15 billion to $1.2 billion.
 Additionally, with better visibility through the end of the year, we are reinstating adjusted EPS guidance. We now expect to achieve adjusted earnings per share in a range of $3.37 to $3.40 for the full year 2020. With respect to 2021, Jon will provide some color in just a few minutes. 
 Before I turn the call over, I'd like to congratulate the Republic team for being certified as a Great Place to Work for the fourth consecutive year. We believe an engaged and diverse workforce is the greatest indicator of our success and the most important element in driving lasting results. This is yet another recognition of the inclusive culture we are building at Republic, one where the best people come to work. 
 With that, I'll turn the call over to Jon. 
Jon Vander Ark: Thanks, Don. During the third quarter, we successfully executed our pricing program, improved volume performance on a sequential basis, effectively managed costs and continued to make investments to drive future growth. 
 Total core price was 4.5%. This included open market pricing of 5.4% and restricted pricing of 3.2%. Core price represents price increases to our same-store customers, net of rollbacks. Average yield was 2.6%. Average yield measures the change in average price per unit and takes into account the impact of customer churn. As expected, volumes were down compared to the prior year, but our performance improved sequentially. 
 In the third quarter, volume decreased 3.4%. This compares favorably to the 7.4% volume decrease we experienced in the second quarter with all lines of business showing improvements from Q2 levels. By September, volumes were down only 2.7% versus the prior year.
 Third quarter small-container volume decreased by 4.8% and was relatively consistent throughout the quarter. We continue to see most of the volume decline concentrated to customers in the education, hospitality and restaurant businesses. However, we continue to see positive signs in our customer base, including small-container customers.
 Approximately 80% of customers that paused service have now returned, and approximately 45% of customers that decreased service levels at the onset of the pandemic have subsequently resumed. Said another way, only 1% of our small-container customer base is not receiving some level of service. Additionally, container weights were only 5% lighter during the third quarter compared to 13% lighter in the second quarter. This suggests continued improvement in economic activity.
 Third quarter large-container volume decreased 5.4%. The volume decline was relatively consistent between the permanent and temporary portions of this business. By September, large-container volume was down 3.7% versus the prior year.
 Total landfill volume decreased 3.1% versus the prior year. This included an increase of 3.3% in MSW volume, which is offset by a decrease of 2.5% in C&D volume and a decrease of 11.7% in special waste volume. The decrease in special waste volume was due to jobs being deferred, not canceled, and the pipeline remains strong. 
 Our customers continue to value our quality service and commitment to supporting them throughout the pandemic. Our Net Promoter Score increased 8 points from the prior year, and we maintained our low customer churn of 7%. We continue to invest in capabilities to deliver our customer-centric digital experience, which we believe will further differentiate us from our competitors. 
 For example, during the quarter, we began piloting automated proactive communications to our customers. This allows customers to set up customized preferences to receive tailored communications through the channel of their choice. Further advancements in customer-facing technology were made possible by the strong foundation we built as part of our digital transformation, including our RISE platform. 
 We continue to partner with our municipal customers to address the impact of COVID on our business. Third quarter residential weights remained up 10% versus the prior year, which was consistent with Q2. We also made further progress on renegotiating contracts with favorable pricing terms. We now have $855 million of annual revenue or 34% of our CPI-based contracts tied to a waste-related index or a fixed rate increase of 3% or greater. 
 From an operational perspective, we effectively managed cost to meet the change in underlying demand for service. Thanks to the team's unwavering efforts, we reduced cost to more than offset the decline in revenue. This resulted in a $41 million increase in adjusted EBITDA and margin expansion of 230 basis points. This was enabled in part by our RISE platform, which allows us to dynamically adjust our routes. We are now 97% complete with the implementation of the RISE platform across the organization. We also maintained our record-setting safety performance by reducing safety incidents by approximately 20% versus the prior year. This drove a 10% decrease in risk management costs. 
 Next, turning to our environmental services business. Third quarter environmental services revenue decreased $34 million from the prior year. This resulted in a 130 basis point headwind to total revenue growth. This was primarily due to a decrease in drilling activity and delays of implant project work. Since mid-August, we have seen rig counts begin to increase, but expect revenue to remain compressed through the end of the year. 
 Finally, turning to recycling. Recycled commodity prices increased 38% to $99 per ton in the third quarter. This compared to $72 per ton in the prior year. The benefit from higher recycled commodity prices was partially offset by a 7% decrease in inbound recycling volume. 
 With that, I will now turn the call over to Brian. 
Brian Delghiaccio: Thanks, Jon. Adjusted EBITDA margin expanded 230 basis points to 30.3% in the third quarter. The components of margin expansion included 70 basis points of improvement from favorable net fuel and higher recycled commodity prices and 160 basis points of improvement from the underlying business. Margin expansion in the underlying business was broad-based, and nearly all operating expenses improved compared to the prior year. 
 Additionally, SG&A as a percent of revenue was 10%, an improvement of 40 basis points over the prior year. Our performance reflects cost controls put in place and reductions in nonessential spending while continuing to make investments for the future to ensure the long-term health of our business. 
 Although we're not providing specific EBITDA margin guidance, I'd like to remind you that there's a 50 basis point headwind in the fourth quarter due to the timing of CNG tax credits. Even with this headwind, we expect EBITDA margin to be at or above fourth quarter 2019 performance. This would result in full year margin expansion and exceed our original full year EBITDA margin guidance that we provided back in February. 
 Year-to-date, adjusted free cash flow was $1.1 billion, an increase of 14% over the prior year. Free cash flow growth was driven by an increase in earnings and improvements in working capital.
 The contribution from working capital includes a 1.5-day improvement in DSO, a 2-day improvement in DPO and $68 million of deferred payroll taxes under the CARES Act. It's important to note that even without the benefit of the payroll tax deferral, adjusted free cash flow would be up nearly 7% compared to the prior year.
 Cash collections remain strong. We believe our DSO performance reflects our customers' willingness to pay for the high-quality service we provide and the essential nature of our business. As Don mentioned, we are raising our adjusted free cash flow guidance to a range of $1.15 billion to $1.2 billion for the year. It's important to note that this level of performance assumes over $1.2 billion of capital expenditures, which is an increase from our prior guidance and relatively consistent with the level of spend we contemplated in our original guidance back in February.
 While we have already achieved over 90% of this full year guide, it should be noted that certain expenditures are back-end loaded. During the fourth quarter, we expect to pay approximately 70% of our full year cash taxes, receive approximately 1/3 of our full year capital expenditures and anniversary the benefit from DSO and DPO improvements. 
 Our full year adjusted free cash flow guidance assumes we will defer approximately $100 million under the CARES Act in 2020. However, if our performance is trending at or above the high end of our guidance range, it is highly likely we would repay the deferred taxes early.
 During the quarter, total debt was $8.8 billion, and total liquidity increased to $3.4 billion. This includes our new 364-day credit facility. Our leverage ratio was approximately 3.1x. We have plenty of capacity to fund outsized acquisition growth while maintaining leverage within an optimal range. 
 Interest expense in the third quarter was $89 million and included $17 million of noncash amortization expense. During the quarter, we refinanced our 2021 bonds to capitalize on the low interest rate environment. This will reduce cash interest by approximately $22 million per year, which we'll begin to realize in the fourth quarter. 
 Our adjusted income tax provision was $75 million, which resulted in an effective tax rate of 19%. Together with the $8 million charge from solar investments, we had a total tax-related impact of $83 million during the quarter or 21% of adjusted earnings before taxes. The charge related to solar investments is recorded as a loss from unconsolidated investments on our income statement.
 The 21% all-in rate was less than our statutory rate of 27%, which resulted in an EPS benefit of approximately $0.08 during the quarter. We expect an all-in tax-related impact of 27% of EBT in the fourth quarter, which will be made up of the income tax provision and charges from solar investments. 
 Let me now turn the call over to Jon to provide some initial thoughts on 2021. 
Jon Vander Ark: You've heard Don, Brian and me talk about the positive momentum in the business, which we believe will carry over into 2021 to drive continued growth in revenue, earnings and free cash flow. In particular, we believe we will improve free cash flow conversion and deliver high single-digit adjusted free cash flow growth in 2021. As usual, we will provide full year 2021 guidance on our fourth quarter earnings call. 
 With that, operator, I'd like to open the call to questions. 
Operator: [Operator Instructions] And our first question today will come from Hamzah Mazari with Jefferies. 
Hamzah Mazari: My first question is just on free cash conversion. I think if you look pre-pandemic, Republic sort of ran at like 41%. Your largest competitor is in the high-40% range. Maybe if you could talk about -- can you get to the high 40s? Is there anything structural preventing that? And I'm not looking at 2020 just because it's a very different year. But just looking at your historic free cash flow conversion relative to your largest peer, what should we be thinking about in terms of catching that up? 
Donald Slager: Hamzah, this is Don. Yes is the short answer. Cash flow conversion is a conversation we have here all the time. Our cash flow conversion is moving north. There's nothing structural that prevents us from getting above the 40%, midpoint into the high 40s. When we provide a detailed guidance with you guys in February, we're going to be talking more about that. But yes, you can expect the cash flow conversion to move up from its historical levels. 
Jon Vander Ark: And just to add to that, I think you'll see opportunities on both sides, right, the numerator and the denominator. We see opportunities to both increase the EBITDA margin as well as manage capital expenditures to drive that number. 
Brian Delghiaccio: Yes. And to Jon's point, Hamzah, that's the real leverage, right? So if you're expanding both, that's why we believe that we're going to be able to grow free cash flow by improving free cash flow margin at a greater rate than we're increasing earnings. 
Hamzah Mazari: Got it. That's very helpful. And just my follow-up question, I'll turn it over. Very strong margin performance, 30%-plus EBITDA. Could you maybe talk about the sustainability of that margin profile going forward? I know time and weight is a big part of your cost structure, and this is a unique time. But how should we think about sort of cost coming back into the system as you see volume improve? And how much of the margin increase we've seen is kind of structural in nature? 
Donald Slager: Yes. Good question, Hamzah. So a couple of things to keep in mind. One is seasonality. Third quarter is typically our high point in terms of margin. So you're going to see some natural regression if you get seasonality in the business. And to your point, during the pandemic, there have been a few tailwinds just in terms of productivity with lack of traffic as well as lower container waste and small-container while maintaining that revenue profile. So those certainly help us, and we expect to dissipate some as we go forward. 
 That being said, we've learned a lot of things in the pandemic and do believe we found a different level of performance in terms of productivity and safety, which is associated to our risk cost. And some of that is the pandemic, and some of that is just the return on the investment we've made over the years in digital operations and our operating discipline. And those things are all starting to accrue to the bottom line. And again, we expect to have line of sight to a 30% margin over the next few years on a sustainable basis. 
Operator: The next question will be from Tyler Brown with Raymond James. 
Patrick Brown: Hey, Brian, so lots of info in the prepared remarks, but I just want to be clear. So in the 2020 guide of free cash flow, you're assuming $120 million payroll deferral benefit this year? 
Brian Delghiaccio: $100 million, Tyler. 
Patrick Brown: $100 million? $100 million. Okay. So then, Jon, whenever we think about your comments about free cash flow for next year being, I think, up in the high single-digit range, so is that number assuming something like $150 million payroll deferral negative comp? 
Jon Vander Ark: Well... 
Patrick Brown: Is free cash flow looking better than high single digits? Or... 
Jon Vander Ark: Yes. This is the way you have to think about it, Tyler, is just that you would have the normal payroll taxes that you would pay in any given year, plus you would have $50 million that you would have to repay from 2020. 
Patrick Brown: Right. But your high single digit is a comp, right, versus prior year? 
Jon Vander Ark: Yes. Yes, correct. 
Brian Delghiaccio: Yes. No, you're right, it's $150 million. 
Jon Vander Ark: Correct. 
Brian Delghiaccio: Starting point to end point headwind we're overcoming and still achieving the high single-digit free cash flow growth. 
Patrick Brown: Yes, yes, yes, that's my point. Okay. That's good. And then so in the table in the release, I think, Jon, you noted that resi yields were north of 3% this quarter. I think that maybe the first time, at least in a limited history, I'm looking at it. But I'm just curious, do you think that we have enough of that alternative index that separate the increased mix to kind of drive sustainability in that? 
Donald Slager: Listen, we won't have enough until we have 100% of the book. So we continue to march into City Hall and get a pricing index that we think reflects our cost structure and giving our frontline workforce a sustainable wage increase every year, which we do. And so -- and recycling is a big part of that. So recycling 2.0, we've talked a lot about getting to a right pricing mechanism in that.
 And then, listen, we've been heavy at the curb in the pandemic as people have sheltered in place. And so the waste shed has moved from small business to homes. And we've got over 100 customers already that have given us price increases to reflect that elevated cost structure, and we're relentless. We are not going to stop continuing to ask for that price increase. 
 So listen, there's some puts and takes any given quarter on when pricing hits sort of the resets of given markets. But our aspiration to get a yield that better reflects our overall business mix in residential is unrelenting, and we'll continue to work with our municipal customers on that front. 
Patrick Brown: Did resi margins go up? 
Jon Vander Ark: They did. Yes. 
Operator: Next question will be from Walter Spracklin with RBC Capital Markets. 
Walter Spracklin: So my first question here is on technology. Obviously, you've made some significant and meaningful investments on the technological front. If we were to put it into 3 buckets as being kind of revenue-generative as you provide a better service as a result of that technology, cost saving because you're becoming more efficient or safety-related, if you look at the $1 spent last year in technology, how would you bucket into those categories? And what evidence, say, for revenue-generative have you seen the success of that technological spend? 
Donald Slager: Yes. So we don't break down the specific nature of that spend. We certainly invested in all 3 categories, steady investment on safety, which has been going on for a number of years, heavier investment on the operating side and the customer side. And while there's some distinction between those 2, there's also a lot of relatedness between those 2. 
 So when we put in our RISE dispatch platform and we put tablets in our trucks, that certainly helps us become more productive and efficient. It also provides a better customer experience, right? It allows us to improve our -- improve on our 99.9% on-time delivery rate. It also allows us to communicate with a customer in a different way in terms of proactive service notifications and verification over time, which again makes our product even better and drive even higher level of loyalty. 
 So investments on all fronts in online buying and billing and taking calls out of the call center. So we're investing on all fronts and certainly have not pulled back on any of those investments in the pandemic, right? We've invested as much as efforts. So this isn't just about performance, it's certainly about running the business for the long term. 
Brian Delghiaccio: Yes. And I think you saw, Walter, in my remarks, I talked about spending a similar level of CapEx this year as we originally guided. Even though we've got lower volumes, a lot of that is because we're investing more in this digital transformation. And we think that based on the benefits we've seen so far, that there's much more to come, and that's why we're trying to accelerate that spend. 
Walter Spracklin: Okay. That's great color. And my second follow-up question here is on the M&A environment. Can you speak a little bit about your pipeline, I guess, specifically whether there had been a degree of pull forward of M&A activity in advance of the election and whether you think a lull might be created here post election as a result of that pull forward? 
Donald Slager: Yes. There was certainly some accelerated activity in wanting deals to close in a certain time period. I think there's far much less people who wanted to sell because they thought there was going to be a certain political risk and then, therefore, don't want to sell because they see the election coming out in a different way than they expected. 
 But people typically sell for structural events, right? They have a change in their life circumstances. There's a generational transition where the next generation doesn't want to run the business. There's some life-changing events, something happens that triggers people to sell. And again, the political risk and what they think would be implications around taxes might accelerate timing a month or 2, but that isn't really driving activity in our experience. 
Walter Spracklin: So the pipeline, as you see it, really hasn't changed from October to December? 
Donald Slager: The pipeline has not changed, and it remains strong. 
Operator: The next question will be from Kyle White with Deutsche Bank. 
Kyle White: I just want to focus on volumes. They're a bit better than I expected and better than your peers, even your sequential improvement was better. You're also one of the few calling for kind of gradual improvement here for the remainder of this year, whereas others seem to be more flattish. Is there anything notable that is driving this relative to the others? And just any high-level thoughts on the economy from your vantage point and views on different subsectors here going into 4Q? 
Jon Vander Ark: Yes. Listen, we see steady improvement. Listen, there's puts and takes in different spots. So if you dial in to any specific geography, right, you might see some flat lining or if people have temporary shelter-in-place orders even in a slight pullback, but I think it's the power of the portfolio overall, both geographically and across business lines. And again, we have a really strong special waste pipeline for the fourth quarter. I feel very good about that. And we're just -- we're seeing steady improvements across the business. I think we remain cautious in the sense that there's certainly still some uncertainty about we're in a pandemic, right, and how the pandemic moves is uncertain. And so we remain mindful and watchful of that. But based on the trends we're seeing, we see pretty good progress momentum. And that's the external standpoint. 
 The one thing I think we've done well is we've been very engaged with our customers, right? We have a sales team that is highly connected to meet their needs, which is if they need to dial back service, we're dialing back service. But when they're ready to increase service, right, we're connecting with them frequently to make sure that they're ready to come back online. We moved our call centers from all in-buildings to 98% work from home in about a 72-hour period without any drop of service. And our performance metrics are as good or better than ever in that environment. So that's also enabled us to serve the customer. 
Donald Slager: Yes. So let me add to that. The top line is better than what people may have expected. But again, the operation has been really strong, right? So we've talked for a long time about the strength of the company, the strength of the team. And we've talked about our resilience of the business model, but that's still all true. But what we're seeing now, to Jon's point, is agility, right? Jon mentioned how quickly we adapted to new ways of working, adoption, how quickly we're changing to new -- using and adopting tools like the RISE platform and then momentum, right? So we're -- all the investments, all the efforts of the last several years, call it, decade kind of compounding, coming together kind of this breakout moment with a crazy backdrop of COVID. But all that together builds this momentum through the year and carries us really well into 2021. 
Kyle White: Got you. And just a follow-up. I think you mentioned that you continue to see the biggest volume declines in education, hospitality, and I missed the third category. But is there any way to quantify your exposure to these kind of subsectors? And how have they performed in October relative to September? 
Jon Vander Ark: Well, let me take education, for example, right? I mean, normally, we have a pretty big seasonal upswing here in September as all those schools come back online. And we've just seen what you've seen, which is people are moving all over the place. Some schools are fully in person, some are fully remote, and then others have hybrid options that have every kind of variation in between. So we've been flexible with our customers to adjust our service level to better meet their needs. 
Donald Slager: It's clearly temporary, right? It's going to, at some point, get back to in-class learning, right? And then that business just comes back when it comes back. And it builds right into our route base, so it usually comes in at a pretty decent margin to boot. 
Brian Delghiaccio: Yes. And one of the things we had mentioned last quarter what the impact was from education. And if you take a look in the third quarter, it was about 20% of our small-container decline was due to education alone. 
Operator: The next question will be from Sean Eastman with KeyBanc Capital Markets. 
Sean Eastman: I just wanted to ask Hamzah's question just in a bit of a different way. I mean just considering all these moving parts, considerably better margins than expected this year, is sort of a normal 30 basis points-ish kind of margin expansion outcome achievable in 2021? 
Brian Delghiaccio: You're talking about for the full year, 30%? 
Sean Eastman: I'm just talking about, can RSG expand margins sort of at a normalized, say, 30 basis point level year-over-year in 2021 in light of some of these nonrecurring cost savings in 2020? 
Brian Delghiaccio: Yes. Look, I think you do have to take into consideration, Jon mentioned it, right, there are certainly some things that are happening in the macro environment, right, things that are helping productivity, some of the lighter container weights. So there are some puts and takes. But we do feel that 30% margin, an improvement towards 30% margin is something that's in the near term, right? And it's going to be something that we're going to continue to move toward. '21 might have a little bit of noise in it just because you have some of those macro benefits modulating. But after that, certainly, 30-plus basis points a year is something that's certainly achievable. 
Donald Slager: We're on the cost. 
Sean Eastman: Got you. All right. Great. And is there any reason to think price won't trend up next year? I mean it was called out, the resi yield number was really a standout in the quarter. Does that give us some juice into next year? I mean what are the puts and takes there? 
Jon Vander Ark: Yes. Our pricing philosophy certainly hasn't changed over the pandemic, which is to get a fair price for the great work that we do. I think you'll see continued strong pricing in the open markets. On pricing on the landfill side, I think that's a slight headwind on CPI, which we have a 10 -- 12- to 18-month lag in terms of when that CPI changes and when that actually hits our contracts on how those escalators work. So that will provide sort of a headwind, but there's no fundamental change in our pricing philosophy. And we'll expect to have strong kind of mid-2s yield at a minimum. 
Donald Slager: Yes. Take a look at the progress that was made in converting the book on the resi municipal business that Jon talked about. The 100 contracts or so that have already engaged with us and approved price increases because of the elevated volumes, that's a great new trend. And we're going to continue just like when others -- things like this occur, we'll push through that. And landfill pricing has held up very well, right? And we still think that there's room in landfill pricing and that a lot of the pricing still needs to emanate from the landfills based on the cost structure there and the difficulty of permitting and expanding landfills. I mean those -- that pricing will continue to stay strong. And overall, through all this sort of chaos, the market was very rational, right? And that's the backdrop. 
Sean Eastman: Yes. Excellent. Super helpful summary there. And again, nice work. 
Donald Slager: Okay. Thank you. 
Operator: The next question will be from Jeff Goldstein with Morgan Stanley. 
Jeffrey Goldstein: Can you just compare how you're thinking about the volume recoveries between both small-container and large-container at this point? I know large-container had a larger initial drop, and now they're booked down about a similar rate in this quarter. So just going forward, would you expect a large-container recovery to pick up faster, especially given some tailwinds we're seeing, especially around housing? Or would you expect those to move relatively in lockstep going forward? 
Jon Vander Ark: Yes. Look, there's certainly -- I mean when we look at single-family housing starts and some of the strength that we've seen in some of those prints, right, we've had in our investor presentations how that positively impacts our volumes generally about 12 months later. So we tend to lag. But the one thing when you take a look at small and large container, remember, a good portion of our large-container business is permanent in nature, right? So it's -- you're kind of talking more about the temporary portion of that, which tends to be the construction-related and then some of the other event jobs. That's where you might see some acceleration out more on the event side. But the permanent large-container and the permanent small-container tend to move at about the same rate. 
Donald Slager: Yes. It really just depends what happens with schools. It depends what happens with the restaurants. And a lot of restaurants have gotten very innovative in the North in terms of outdoor dining, and that will be more of a challenge as we move into the late fall/winter season here. So there'll be a few puts and takes that could impact us the next quarter or 2 in small-container in terms of that trend, maybe a little bit less than the large-container firm. But I don't think there'll be any fundamental differences for that. 
Jon Vander Ark: Yes. And the sequential gap continues to close, I guess. 
Jeffrey Goldstein: Okay. That was all very helpful. And then on the recent pledge to purchase 2,500 electric trucks, and I know you're a few years away from actual integration of those vehicles, but can you just talk about how you view those trucks relative to diesel and CNG in operations today? And maybe any rule of thumb we can think of in terms of financial benefit, if any, you'd be expecting? Or is it mostly just an environmental benefit from your point of view? Just any thoughts there would be helpful. 
Jon Vander Ark: Yes. No, we're very bullish on electrification long term. We think that's the winning technology in the space because that's the only truly 0 emissions option out there. But we've said all along, it's going to be a challenge, and it'll take time, right? We're going to have to work making commitments in the space because we need to innovate and help innovate. We've got relationships across the value chain, right, that we're showing a leadership position in that over time.
 We also have fundamental belief that if something is going to be environmentally sustainable over time, it's got to be economically sustainable. So we don't expect to do this by reducing returns. We expect over time to amp returns. Now there might be some puts and takes between higher upfront CapEx and then lower operating costs through reduced fuel cost or reduce maintenance costs over time. But again, we're very proactive in that space. 
Donald Slager: Now look, we're the seventh largest vocational fleet in the nation. And to Jon's point, we are the right kind of company to be innovating and to be pushing innovation onto the market. And again, when you get there, those benefits accrue in large ways because we've got 16,000 trucks on the street every day. 
Operator: The next question is from Michael Hoffman with Stifel. 
Michael Hoffman: I do have 2 specific my questions, but there's 2 I'd like to make sure I get -- everybody heard the answer correctly, if you would bear with me. My 2 specifics are 160 basis points in solid waste improvement. If you thought about traffic and that type of productivity, what's that give back out of the 160 when we're all driving full time and you guys have increased labor for that? 
Jon Vander Ark: Yes. Michael, it's hard to -- we're looking at that, right? It's hard to tease that out exactly because again, we have a mix of 2 things going on. One, we've got lower traffic patterns because of people sheltering in place, and we also have the rollout of all of our digital tools driving higher productivity.
 Listen, we hope to -- we're not going to sustain all of it, but we hope to sustain a lot of it on the productivity side. And one of the things we've seen is not a big difference between rural and urban market productivity, right? So we're seeing benefits in both. And I would have expected to see, if it was purely pandemic-related, a lot bigger lift for us in urban markets, right? And we're seeing benefits across the board. So again, we -- back to our path -- our plan to expand margins, a big portion of that is capturing some of that productivity benefit going forward. 
Donald Slager: Yes. So look, there's definitely some impact, to your point, Michael, with traffic. But look, the initial rollout of the RISE platform is the foundational element surprise. The stuff the team is working on now, the next things that they'll layer in now once the platform is rolled out and established is additive, right? So there's going to be layer after layer of additional feature benefit and capability on that digital platform that's going to drive new margin expansion and better operations, better customer-facing stuff, more information in our pricing tools and just better, safer operations. 
 Jon, do you want to talk about a couple of those things? 
Jon Vander Ark: Yes. We've just -- the tablets in our trucks, right, and giving our people the visibility both in the branch as well as the driver out communicating together, right, not talking, seeing where those trucks are. And so a large-container route, for example, will have 7 movements in a day. It's about getting 8 movements in a day in the same time period while improving safety, while providing better customer service. So that's a very tangible example. We're seeing those tools accrue to the bottom line. 
Brian Delghiaccio: Hey, Michael, one thing I just wanted to kind of clarify that, too, is that when we talk about the 160 basis points, call it, at the underlying business, that's not just solid waste, that also includes the impact from environmental services. So the only thing that doesn't include of the 230 basis points of total margin expansion is the impact of both net fuel and higher commodity prices had on margin expansion. 
Michael Hoffman: Okay. All right, that's helpful . And then the clarification question, somebody asked something about margin and margin expansion, and I was scribbling really fast. You were expecting margins to expand next year, and maybe 30 is a great goal, but you're not giving a goal, but you expect margins to expand. Is that -- the way I was writing it down, it sounded like you were going to be flat. 
Brian Delghiaccio: No. We expect margins to expand. We're not giving a guide on that topic, but we are expecting margins to expand. 
Michael Hoffman: Right. And the other... 
Donald Slager: It is -- Michael, that's the point of momentum, right, when you heard me use that word, twice Jon used it, Brian, look, underlying strength in our business, sort of developmental strength in our people, resiliency in the mid-business model, again, rational backdrop and then, again, proven agility through this downturn, right, you prove it. You can't question it, right? You could see how quickly the company turned and reacted and adapted, adopted, proven agility and momentum, right? And that is the key takeaway here. I mean there is really strong momentum in the business, in the team and in all the work that's been done over recent years coming together to carry us into 2021. 
Michael Hoffman: Okay. And then my second one is on free cash flow, and it's got both a clarification and a question in it. Maybe your conversion rate has been less than peers, but your fundamental year-over-year growth rate has been better than your major peer for a decade, one; and two, you do have headwinds. Your leverage ratio has been consistently higher and you pay out more in closure and post closure in absolute dollars. So the question is, do you expect to be able to raise this number by high single digit and still have all of that in front of you? 
Donald Slager: Yes. Look, we're not going to change the structural issue with legacy landfills, right, overall, right? I mean they're going to have that cost, maybe somebody else doesn't have. And our formula of returning cash to shareholders, the way we do is a very time-tested formula, right? We're going to continue to invest in capital even through this tough time.
 I mean, look, when we went through the Great Recession, we didn't stop investing in the business. We had strong enough cash flow to carry us. We continue to invest in fleet, all the other things. Through this year, we didn't shut it down. We actually, in some cases, accelerated some of the spending in some of the digital tools. And yes, I mean we're very strongly focused on cash flow conversion. And as I said earlier, we're going to get ahead of that 45% and going to carry us into northern 40% territory. 
Brian Delghiaccio: Right. And that's why I was saying, Michael, as I made those comments about both the combination of EBITDA margin expansion and being able to reduce expenditures, that combination is why we feel that there's going to be an accelerating event here on free cash flow conversion to drive that free cash flow growth. 
Donald Slager: Look at the things that Jon and Tim and the team have built momentum on. I mean look at -- we talked already about the -- changing the pricing mechanism on municipal, right, to a fair and equitable arrangement. That's underway. Recycling, making a lot of headway there. And it's not just the recycling markets that are helping us, right, they will, but we're, again, we're retooling that business, right, making it truly sustainable, right? That's happening. Now some pricing on the resi side for the elevated weights, right, all of those things.
 And then all the underlying operational benefits. I mean safety is a great story. Employee turnover is a great story. Engagement is a great story. All of those things adding up, and those are all going to come to fruition, I think, regardless of COVID. And then COVID sort of kicked this into another gear. We found new agility that we didn't have and made some other operational changes because we, frankly, had to. And those are going to carry in the future periods. 
Operator: The next question will come from David Manthey with Baird. 
David Manthey: Last quarter, you mentioned that about 15% of your labor cost was overtime, and it was down 25%. Can you tell us by how much overtime was down year-to-year in the third quarter and October, if you care to share that data? 
Brian Delghiaccio: Yes. They were -- in the third quarter, it was down about 10% overtime hours year-over-year. 
David Manthey: Okay. And second, I realize you're not giving fourth quarter guidance. But due to the ongoing recovery here and your current mix of business, is it possible you might see lower-than-normal seasonality in the fourth quarter revenues based on those realities? 
Brian Delghiaccio: Well, if you think about seasonality, typically, what you see is an uptick in the second and primarily the third. So from a seasonal perspective, then you start to see it kind of come down in the fourth quarter. So your toughest bogey is generally the third quarter hit from a year-over-year perspective when you talk about seasonal volumes. So there typically isn't something that increases significantly in the fourth quarter from a volume perspective when you look at Q3 to Q4. 
Donald Slager: Yes. Except you might have some other just recovery because certain sectors open up, that book maybe shut down, right? 
Brian Delghiaccio: Yes. 
Donald Slager: It might be economic, maybe construction in some places. 
Jon Vander Ark: Yes. Some of it is purely seasonal, which is in the North, there's construction activity that just doesn't happen because of the weather. Now there could be some special waste jobs that are teed up for us that we would have in the second or third quarter that have just gotten delayed. And now that people have more clarity going forward, that they'll hit, and we, again, we feel really good about that pipeline. So there should be some modest opportunities there. 
Donald Slager: Look, normally, seasonally, Q3 is our strongest quarter, 2 is our second strongest then 4 and then 1. 
Brian Delghiaccio: And 1, right. So we don't see certainly any headwinds as we look in the fourth quarter from a seasonal perspective year-over-year versus what we just went through in the third quarter. 
Operator: The next question is from Mike Feniger with Bank of America. 
Michael Feniger: Don, for many years, we were hearing about you guys intentionally shedding business. Every call, there would be a lot of questions on why your volumes were underperforming some peers. I guess my question is, one, are you guys kind of through that intentional shedding? And two, how do you think that has positioned you guys going into this downturn and really coming out of the downturn? 
Donald Slager: Well, look, you heard Jon used this phrase, the power of the portfolio, and that's something that we speak to a lot, right? And when you spend decades and decades building the business and pulling the business together the way we did, 5 public companies, blah, blah, blah, you end up with some stuff that you got to clean up. We're kind of through all that. We've done some puts and takes in markets. We've gone to markets. We've exited markets. We used to talk about national accounts and stuff we had to shed. We're not going to be talking much about that anymore. 
 Now the fact is because we have a strong pipeline in acquisitions, right, as something like Jon talked about last quarter, we're always going to have some business that comes with an acquisition that may be likely to be shed because it doesn't sort of fit the model. But overall, we think we've done a good job. We think we've got a good filter and test in place on the way in as we're selling new business with all the sales tools that have been launched over recent years. So we think we've got the safety mechanism on the organic sales side. There'll still be some stuff that maybe gets shed through -- as a result of strong M&A. 
 But look, we are well positioned. Again, the power of the portfolio works. It's the mix of geographies. It's the mix of business, large-container or small. It's a strong approach with fixing a big piece of the business, which happens to be municipal. It's been kind of our nemesis with tough recycling contracts, bad escalators, that's starting the outcome around the corner here for us. And it just again shows the relentlessness of the team, as Jon already mentioned. 
 So all that work, right, just adds to the strength of the portfolio. That power of the portfolio is real. Seasonality, winter events, weather events balances out when you've got a strong portfolio. And no different than the portfolio that you invest in yourself, right? We have invested in building a strong portfolio and then sticking with it and then continually improving it over time. And it's just going to -- it will just get better and better as we go. 
Michael Feniger: That makes sense. And Don, just piggybacking off that, this is kind of a big-picture question. I mean you've seen a lot of consolidation in your day, big and small. Some of your peers right now are integrating some large-scale acquisitions in Q4 in the middle of COVID. You guys have elevated M&A, but you passed on some of these bigger deals. I'm curious how you and the management team think that positions the company kind of into 2021. 
Donald Slager: Well, look, we -- I would say this, we've been -- we've looked at every decent deal that's come around. I would say there's probably been times where we've had sort of the lead seat on some deals. And on an ROI basis, we just couldn't get as comfortable with it as we'd like, and we passed. And in a couple of cases, other people came in and decided to go forward with it. Some cases, people paid more than maybe we would have, right?
 There's a lot of really high-quality companies out there that we compete with vigorously every day, and we've got a pretty good look at who they are, how they operate. We know the good quality. Those are the companies we're talking to. We're not going to win every deal, right? I would say there tends to be a natural buyer, and that might be a cultural fit. It might be a geographic fit. It might just be where the purchasing company is in the life cycle or, frankly, what promises they've made to the market that they feel they have to keep. We're not in a situation where we're being paid some high-growth multiple and we've got to do things that are unnatural. 
 So we stick to what we know. We've got a great M&A team, a great team of people out there who know their markets. Our 10-area presence all have market plans that think about how they want to expand their business through whether it's landfill expansions and acquisitions or new lines of business. All that is up and running. 
 So look, I remember, when we paused M&A, when we did the big merger over a decade ago and then we put our toe back in the water, year-after-year, I've come to you and said, and we're going to do X next year. And sometimes we missed it a little bit because we've said no to some deals that proved, frankly, I'm worthy in the end. We found some things in diligence that we didn't like and we backed off. And we weren't so hot and heavy to make the number as we were to do its best for the company.
 And then there's years like this year where we're going to blow it out because opportunity arises. And these companies that we're buying today are high-quality companies and a really great fit. And that's how we're going to continue to play it. And we've taken some opportunity to expand the core a little bit. There's some great opportunity that the team has brought to us that expand our abilities in around the environmental space that we're fond of. 
 So that's going to continue. And we haven't given you, again, guidance on that, and we will talk about that in February based on what the pipeline is. And  -- but when we say we're well positioned, I think you can take that to the bank. We're well positioned. 
Michael Feniger: And just off that, what do you expect to close in 2020? Can you -- or Brian, can you give us a number on how much rollover do we get on the top line? Is there a way you can just kind of frame that for us? 
Brian Delghiaccio: Yes. With that $850 million to $900 million investment that we guided to, again, it's going to be very heavily back-end loaded. We would expect, call it, 150 basis points plus of acquisition rollover on the top line. 
Michael Feniger: Okay. That's perfect. And just lastly, I know -- I might have missed this with October. Did you guys say was October volumes up versus September, kind of flat sequentially? I might have missed that. 
Brian Delghiaccio: Yes. They were somewhat flattish from September levels, but about a 100 basis point improvement from the Q3 average. 
Operator: The next question will come from Noah Kaye with Oppenheimer. 
Noah Kaye: I think you mentioned the 160 bps expansion in margin was inclusive of environmental services, which I got to imagine was a relative drag, at least versus the average. So any chance you can quantify the environmental services margin impacts in the quarter? How you think about that for the year? And then if you extrapolate the current run rate to '21, what does that mean for margin impact year-over-year? 
Brian Delghiaccio: Yes. So within the 160 of expansion, overall, there was a 20 basis point headwind from the environmental services business. 
Noah Kaye: And I know you're not giving formal guidance, but just thinking about it for the year, you would expect to be a continued headwind? 
Brian Delghiaccio: Yes. In the fourth quarter, yes. Yes, probably at a similar level, if you will. 
Noah Kaye: Yes. And so if we annualize that into next year, you may be looking, just on the significant drop-off, you may be looking at a little bit of a headwind again in 2021, but not massive.
 Okay. And just to clarify, the high single-digit growth in free cash flow year-over-year, that view, that does include the contributions from the chunkier acquisitions, correct? 
Brian Delghiaccio: Correct. Yes. 
Noah Kaye: Okay. Great. So one -- after specific questions, one more general one. I think as one of my peers noted, relative to some of the other companies in this space, you are looking for continued improvement here. If I just step back and look at the consumers' personal savings rate here in the third quarter, I mean it's doubled year-over-year. There is a lot of cash on a relative basis sitting with the consumer. Now some of it may be going into house down payments or what have you. But eventually, that cash has to come off the sidelines. And I guess I just want to see how you think that translates to the recovery into the eventual growth here.  You're talking about large-container maybe picking up, maybe it stays in the resi line of business, but just your thoughts there. 
Donald Slager: Look, we're not going to give you the exact formula because there's too much mix involved, right? But look, I mean our business grows based on population growth, household formation, business formation. So very simply, more people, right, job creation, wage growth, more people working, people sort of settling down after sort of the chaos. There have been a lot of chaos this year, right, COVID, social unrest, the election. I was suffering personally from a great deal of election fatigue, okay? And so I'm sure a lot of people were, right? 
 So things are going to start to settle down. America ends up conquering all in the end. How much time will it take? To your point, people have a lot of savings set aside. People are waiting to see. We have good news from the Fed today. Look, as things get back to normal, right, and we get on a path, economy recovers and people find a way to continue to sort of save and grow their businesses, as Jon mentioned, people innovate, we see it all the time, we're going to be right there with it. Our market position, it allows us to take full advantage of all that organic growth somewhat naturally. And then our ability to grow through M&A, our ability to look at even expanding some of our core offerings, a lot of good there. 
 And so we're well positioned. Strong balance sheet, strong asset base, strong market position, strong team, I can go on and on and on and brag about this group. So this quarter is a great showing of all the hard work that's been going on. And I said strength, resilience and now an expression of agility and real momentum in the business. And with a good backdrop, I think now, as things start to settle down around us, then it will be a good story to tell. And we'll be here in February to share with you the full year results and the outlook for '21 in more detail. And based on what we see today, I think everyone will be pretty happy with that. 
Operator: At this time, there appear to be no further questions. Mr. Slager, I'll turn the call back over to you for closing remarks. 
Donald Slager: Thank you, Chad. In closing, we are very pleased with our third quarter performance and continue to have a positive outlook on our business. We delivered double-digit adjusted EPS and free cash flow growth, expanded EBITDA margin and achieved EBITDA margin performance above 30%. We raised our full year 2020 adjusted free cash flow guidance, and we see strong free cash flow growth in 2021. Once again, we have proved the resiliency of our business and the strength of our model. 
 I'd like to take a moment to recognize the hard work, commitment and dedication exhibited by our 36,000 team members this year. At the onset of COVID, we launched our Committed to Serve program to recognize our frontline employees who deliver an essential service to our communities across the country each and every day. And since then, their dedication has continued. Even through record-setting weather events, including fires and hurricanes and, frankly, you name it, they've never let up. And it's their consistency and willingness to take care of our customers, communities and each other that makes them truly relentless and makes me proud to work for Republic Services. 
 I hope you all have a good evening. Stay safe out there. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.